Operator: Good afternoon, everyone, and welcome to Associated Banc-Corp's Second Quarter 2023 Earnings Conference Call. My name is Alicia, and I'll be your operator today. [Operator Instructions] Copies of the slides that will be referenced during today's call are available on the company's website at investor.associatedbank.com. As a reminder, this conference is being recorded. As outlined on Slide 1, during the course of the discussion, management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Associated's actual results may differ materially from the results anticipated or projected in such forward-looking statements. Additional detailed information concerning the important factors that could cause Associated's actual results to differ materially from the information discussed today is readily available on the SEC website and the Risk Factors section of Associated's most recent Form 10-K and subsequent SEC filings. These factors are incorporated herein by reference. The reconciliation of the non-GAAP financial measures to the GAAP financial measures mentioned in this conference call, please refer to Pages 24 and 25 of the slide presentation to Page 10 of the press release financial tables. Following today's presentation, instructions will be given for the question-and-answer session. At this time, I would like to turn the conference over to Andy Harmening, President and CEO, for opening remarks. Please go ahead, sir.
Andrew Harmening: Thank you, Alicia, and good afternoon, everyone. Welcome to our second quarter earnings call. I'm Andy Harmening. I am joined once again by Derek Meyer, our Chief Financial Officer; and Pat Ahern, our Chief Credit Officer. I'll start by sharing some highlights for the quarter, and from there, Derek will provide update on margin, income trends and capital. And then Pat will share an update on credit. So midway through the year, we've started to see some renewed stability through the banking system, and that's especially true here in the Midwest. Unemployment rates in most of our states remain below the national average. The consumer remains healthy, and our business customers continue to seek ways to expand and optimize their operations where it makes sense. And with that stability as our backdrop, we've continued to make progress with our plan to attract, deepen and retain customer relationships, optimize our balance sheet and enhance our profitability profile over time. You can see that in our loan portfolios, where we've continued to add significant volumes of high-quality consumer and commercial loans to our books. You can see it on the deposit side, where we're deepening relationships with our mass affluent strategy and acquiring new relationships with a brand-new brand campaign and multiple product and service enhancements. And you can see it in digital, where we've already made several upgrades to the new platform we launched less than a year ago, leading to an increased customer satisfaction score and a decreased customer attrition rate. We have become a company that has developed an ability to execute even amid a volatile quarter in banking. But importantly, we've reached these milestones without sacrificing our foundational discipline on credit quality and expense management. We look forward to carrying the momentum into the back half of this year. So with that, I'd like to highlight key results for the second quarter on Slide 2. Our second quarter results reflected the continued expansion of our balance sheet, stable credit trends and progress against our initiatives. We added loan balances in all three major segments, again in the second quarter led by C&I and auto finance. However, as we discussed a quarter ago, lending activity as a whole has slowed from the strong pace we saw in 2022. To fund our growth and enhance our liquidity profile, we tap the wholesale markets to increase deposits by $1.7 billion during the quarter. This reliance on wholesale funding sources is expected to dissipate over time as we begin to realize the full impacts of our customer acquisition and relationship deepening initiatives. With increased funding costs impacting the entire industry, our net interest margin came in at 2.8%, which is down from our fourth quarter peak, but it's still a 9 basis points above the same period a year ago. As a partial offset to margin pressures, we saw noninterest income increased by $3 million from the prior quarter, helping us deliver PTPP income of $133 million for the quarter, a $23 million increase from the same period a year ago. We are continuing to monitor asset quality closely, but our credit trends remained relatively stable during the second quarter. We saw 15 basis points of net charge-offs during the quarter and added 1 basis point of ACLL. We added $22 million in provision for the quarter, but still matched our net income available to common equity from the same period a year ago. Now staying on the topic of credit. I'd like to take a moment to reiterate a few important points about who we are as a company on Slide 3. We take an active, disciplined and conservative approach to credit. This includes an ongoing and deep review of the existing portfolios. And in addition, our efforts to de-risk our balance sheet over the past 14 years have put us in a relative position of strength. Since 2009, we've taken steps to exit high-risk portfolios, replace those balances with lower risk asset classes and implement processes and procedures to identify and eliminate risk. And today, we're squarely focused on prime, super prime consumers, core commercial lending and a diversified balance sheet. This broad focus has protected us from overextending ourselves in any one particular area and limited our exposure in at-risk subcategories such as CRE office. We also benefit from operating primarily in stable, conservative Midwestern markets that don't see the big swings you might see in other parts of the country. As mentioned previously, this long-held disciplined approach on credit has also given us the flexibility to continue to execute on our strategic initiatives in the face of a dynamic operating environment. With that, I'd like to provide some details on our loan trends on Slide 4. During the second quarter, we continue to add high-quality loans to the balance sheet in areas such as C&I and auto finance. We've now reported growth in each major segment for five consecutive quarters. And while we continue to book loans, the pace of new deals coming into the pipeline has slowed as our customers take a more cautious approach in the uncertain macro environment. Within our portfolio, we continue to emphasize selective growth in high-quality loan categories that help us diversify our portfolio while delivering an enhanced profitability profile. Over the last seven quarters, the expansion of our C&I business and growth in our new equipment finance and asset-based lending verticals, has helped us expand our offerings and sharpen our focus on high-quality relationship-based lending. This enables us to deemphasize lower-yielding non-relationship asset classes such as third-party originated mortgage. As we announced back in Q1, we've chosen to exit this low-margin business with relatively low relationship value. We originated approximately $1 billion of these loans in 2022 and we now expect to originate just $60 million in '23 as we wind down this business to focus on other areas that enable us to optimize our returns over time. So in summary, we remain confident in our ability to drive high-quality accretive growth on our balance sheet. And as such, we continue to expect loan growth of between 6% and 8% in 2023. On Slide 5, we highlight our funding trends for the second quarter. During the quarter, we tapped the wholesale and broker deposit markets to help enhance our liquidity profile, fund our loan growth and replace higher cost FHLB advances. These actions were temporary in nature and not intended to be part of our long-term strategy. Within our core customer deposit base, we did see some short-term volatility from a subset of uninsured business deposits and public funds in March and April. But that volatility largely dissipated by the end of the quarter. And in the face of this challenging environment, we actually saw modest growth in our consumer deposit base during the quarter. This stabilization reflects the granularity of our deposit base and our recent efforts to attract and deepen customer relationships with digital tools and product enhancements. We expect to hold wholesale network funding levels in check as we move through the back half of the year, and we remain confident in our ability to fund our growth at a reasonable cost going forward based on our initiatives. With that said, based on current market conditions, we now expect total core customer deposits to decrease by 3% for the year. However, we expect to drive growth of 2% in the back half of the year as we continue to execute on our initiatives. On Slide 6, we're sharing additional details on our initiatives designed to acquire deep and retain customer relationships. We've continued to see promising signs of progress with these efforts. We've actually seen momentum pick up as we move through the year. As I mentioned previously, we're up and running with a variety of initiatives across the bank, and we've seen several leading indicators that give us confidence we are on track. First, in one of the most challenging environments for regional banks in years, we actually grew net consumer and business households during all three months of the second quarter. Secondly, we've implemented several enhancements to our product and service offerings and launched a new brand campaign, which resulted in an 11% increase in consumer household acquisition rates and a 13% decrease in attrition year-over-year. Third, I want to remind you that the new digital platform we launched last fall was built with open architecture, enabling us to quickly respond to customer feedback and deliver more and more frequent upgrades. Since launching the platform 10 months ago, we've already successfully released 9 upgrades. As a result, we've seen a strong positive trend in our top box completely satisfied customer satisfaction scores. And most recently, during the second quarter, our satisfaction scores hit a three year high in mobile banking. Finally, since launching a new mass affluent strategy to deepen relationships with high potential customers, we've already added over $300 million in net new deposits that surpassed our full year goal. This growth represents a roughly 8% increase from our prelaunch baseline. As you can see, we're bringing in new dollars and deepening relationships with a customer base that is more satisfied. While we're pleased with the initial results of these efforts, we've yet to realize the full impact of the initiatives, and we're working on additional enhancements as we speak. What's not going to change though is our commitment to the foundational strength of our company, which is maintaining discipline with regards to credit risk, expense management and operational risk management. So finally, on Slide 7. Our team once again paired strong revenues with diligent expense management during the second quarter. And despite the challenges facing the industry during the quarter, our company delivered PTPP income of $133 million, which represented a 21% increase as compared to the same period a year ago. We remain committed to delivering positive operating leverage during 2023. So with that, I'm going to hand it over to Derek Meyer, our Chief Financial Officer, to provide a little more detail on our margin, income statement, cap and capital trends for the quarter.
Derek Meyer: Thanks, Andy. Starting on Slide 8, I'll begin by highlighting our asset and liability rate trends through the second quarter. Our total asset yields have continued to rise due to rising rates and the floating rate nature of our large segment of our loan book. Since the start of the rate cycle, total earning asset yields have increased by 259 basis points or roughly 53% of the increase in Fed funds target rate over the same period. Our commercial and CRE portfolios, largely comprised of floating rate loans have seen the largest increase. On the liability side, rising rates and the volatility impacting the industry this spring is combined to put additional pressure on funding costs across the industry. Here at Associated interest-bearing liability costs have now increased by 279 basis points since the fourth quarter of 2021 or roughly 50% of the move in Fed funds target. While the general S-curve effect we expected to see on deposit betas has played out largely as we expected, our beta accelerated following the volatility we saw in the spring, our short-term build and wholesale network funding and the ongoing mix shift away from noninterest-bearing deposits. Accordingly, our interest-bearing deposit beta has now climbed to roughly 52% since the start of the rate cycle. Moving to Slide 9. Mix shift and other funding cost pressures combined to drive a 27 basis point compression in our NIM for the second quarter. Nonetheless, our NIM still represented a 9 basis point increase from the same period a year ago. On a dollar NII basis, we saw similar impacts during the quarter, yet still delivered dollar NII that reflected a 19% increase from the same period a year ago. And as Andy discussed, we continue to take significant actions on both sides of the balance sheet to drive more durable margin over time. One example is that we've gradually layered in swaps over the past several quarters to decrease our asset sensitivity and enhance the durability of our margin. Given the ongoing uncertainty around the macroeconomic picture and the likelihood of a higher for longer scenario, we did not add additional swaps during the second quarter. Nonetheless, we've continued to see our estimated NII sensitivity come down gradually by design. The macro outlook remains uncertain. Our current expectations assume one additional 25 basis point Fed funds increase in September with no rate cuts in 2023. Based on our current expectations for balance sheet growth, deposit betas and Fed action, we now expect net interest income growth of between 10% and 12% in 2023. As a reminder, we do not intend to call the peak on interest rate environment in '23 but we do - but we will continue to take reasonable steps over time to dampen our asset sensitivity and manage our downside risk. On Slide 10, we've continued to manage our securities book in the second quarter to align with our 18% to 20% target. Throughout the past year, the yield on our investments has steadily risen with the rate environment but we've reined in durations to reduce our longer-term rate risk. After adjusting our CET1 capital ratio to include the impacts of AOCI, this impact would have represented an 88 basis point hit to CET1 in the second quarter. This impact is up slightly from the prior quarter, primarily driven by the rebound in rates from the decrease at the end of March. As a percentage of total assets, our investment security and cash positions were maintained at roughly 20% during the quarter. We continue to target investments to total assets of between 18% to 20% in 2023. Shifting to Slide 11. Noninterest income grew by $3 million in the second quarter despite the ongoing pressure from market-driven headwinds and customer-friendly fee adjustments that we faced in the past several quarters. The largest contributing factor for the increase was the moderate growth in mortgage banking income driven by higher MSR values. We also saw modest growth in card-based wealth management and other fee-based revenues. These increases were partially offset by decreases in service charges, BOLI income and asset gains. Despite the quarterly increase in noninterest income, we continue to expect total 2023 noninterest income to track between 8% and 10% versus 2022. As we've discussed, this anticipated compression is driven by current market dynamics and moderation in deposit account fee income due to customer-friendly overdraft NSF changes made in the back half of 2022. These proactive changes gave us additional confidence in our ability to strengthen our low-cost deposit base, enhance our broader profitability profile in 2023 and beyond. Moving to Slide 12. Our second quarter expenses increased by 2% versus the prior quarter amid ongoing investments to support our initiatives. Our FTE efficiency ratio rose to 57% during the quarter but it remained 284 basis points below the same period a year ago. Additionally, our noninterest expense base continues to decrease as a percent of average assets and is now down 15 basis points from the same period last year. While we continue to invest in strategies to support our growth aspirations in 2023, we are committed to keeping expense growth below revenue growth over the long term. On an ongoing basis, we will continue to pursue opportunities to optimize our expense base where possible. With that in mind, we now expect total noninterest expense growth of between 3% and 4% in 2023. Shifting to Slide 13. We continue to prioritize paying a competitive dividend and funding organic growth while managing capital levels towards our target ranges. During the second quarter, our regulatory capital ratios grew versus the prior quarter and versus prior year-end 2022. We remain comfortable with our capital levels as we look out over the remainder of the year. Given current market conditions and the expectation for short-term rates to remain elevated in the near term, we continue to expect TCE to land between 6.75% and 7.25% by year-end and CET1 to land between 9% and 9.5%. I will now hand it over to our Chief Credit Officer, Pat Ahern, to provide an update on credit quality.
Patrick Ahern: Thanks, Derek. I'd like to start on Slide 14 with an update on our allowance trends. We utilized the Moody's May 2023 baseline forecast for our CECL forward-looking assumptions. The Moody's baseline forecast remains consistent with recent observed trends and assumes an additional near-term rate hike, GDP growth rates similar to the first half of 2023, a cooling labor market and a deceleration of inflation. At the end of the second quarter, our ACLL landed at $377 million. This figure represents an $11 million increase from the prior quarter as allowance continues to be driven by a combination of portfolio loan growth, nominal credit movement and reflects general macroeconomic trends benefiting from stability in the Midwest. Accordingly, our reserve to loan ratio increased 1 basis point from 1.25% to 1.26% during the quarter. Moving to Slide 15. Our quarterly credit trends remained stable across the portfolio during the second quarter. We did see nonperforming assets, nonaccrual loans, delinquencies and charge-offs increased slightly during the quarter, but we view these increases as a sign of both normalization back to pre-pandemic levels as well as some one-off situations as opposed to an indication of a broader issue in the portfolio. We added another $22 million in provision during the second quarter, which is consistent with the past three quarters. As mentioned, this provision build was largely a function of loan growth, limited credit movement and some macro trends. Given recent volatility in the industry, I'd like to take the opportunity to reiterate that the recent growth in our loan portfolios continues to focus on our core business, growth of key relationships and expanding our engagement with familiar customer segments. Our experienced team continues to adhere to a disciplined underwriting culture and a proactive approach to portfolio management that we have solidified over the past 10-plus years when the bank worked to derisk the portfolio. We remain focused on monitoring the uncertainty in the macro economy to ensure current underwriting reflects elevated inflation, supply chain disruption, labor costs to name just a few economic concerns. In addition, we continue to maintain specific attention to the effects of elevated interest rates on the portfolio, including the ongoing interest rate sensitivity analysis bank-wide. Going forward, we expect any provision adjustments to reflect changes to risk grades economic conditions, loan volumes and other indications of credit quality. Finally, on Slide 16, Andy discussed previously that our conservative approach to credit has been optimized over the course of the past several years and as we've built a diverse portfolio of high-quality commercial loans across the bank and a focus on prime and super prime consumer portfolio. While CRE has frequently been cited as an area of risk in the media, our approach to CRE lending reflects the conservative approach we've applied across the bank. In building our CRE portfolio, we focused on partnering with well-known developers in stable Midwest markets. Over two-thirds of our CRE portfolio is based in the Midwest with an emphasis on multifamily and industrial properties. Office loans represent just 3.5% of our total loans as a bank. And within that portfolio, we are weighted towards suburban Class A properties. While we continue to monitor this portfolio closely, we feel well positioned given our business model approach and the markets we operate in. With that, I will now hand it back to Andy to share some closing thoughts.
Andrew Harmening: Thanks, Pat. I'd like to reiterate a couple of points from the presentation on Slide 17. First, based on the resiliency of our markets and the ongoing momentum with our lending initiatives, we remain confident in our ability to drive high-quality loan growth throughout the year. As such, we continue to expect total period-end loan growth of between 6% and 8% in 2023. Secondly, while we see that our core deposits have stabilized, we now expect core customer deposits to shrink by 3% for the year. But with that said, we also remain confident in our initiatives on the deposit side based on several leading indicators that point to momentum in the back half of the year. With this in mind, we expect to see positive core customer deposit growth of 2% in the second half of the year. Shifting to revenue. We've adjusted our most recent forecast for balance sheet growth, deposit betas and Fed action following unique events of the spring. We now expect to deliver net interest income growth of between 10% and 12% in 2023. And finally, we continue to invest strategically in both people and technology, but our disciplined approach to expenses remains foundational. We also remain committed to delivering positive operating leverage as a company. As a result, we've lowered our expense guidance to between 3% and 4% growth for the year. So with that, let's open it up for questions.
Operator: [Operator Instructions] Thank you. Our first question comes from Daniel Tamayo with Raymond James. Please proceed with your question.
Daniel Tamayo: Good afternoon, guys. Thanks for taking my questions.
Andrew Harmening: Hi, Dan.
Daniel Tamayo: I guess, first, just on the funding side. I think I heard you say this, I think it was Andy that the wholesale and network transaction deposits are expected to be stable in the back half of the year? Just correct me if I'm wrong on that. But I was just hoping to get kind of a sense into that's wrong expectation for how that - how those will fluctuate if it's just - if there's a loan-to-deposit target that you're hoping to keep or if there's levels that you don't want to go above related to those funding sources? And then just kind of trends within the second quarter in terms of the core deposits that gave you confidence in being able to grow in the back half of the year.
Andrew Harmening: Yes. Maybe I'll start that one out and then turn it over to Derek. One of our absolute imperatives in the second quarter is to ensure that we had a strong liquidity position, which we do. So we wanted to make sure that our day 1 liquidity position was in a good place for the bank in an uncertain time. Since that period of time, we've been able to see that our uninsured uncollateralized deposits are down to 21%. We've seen that we have day 1 coverage of well over 100%. And we have seen the stability of our deposit base emerge in the month by month as we've come through this whatever you want to call this four month period of time we just came through. With regards to loan-to-deposit ratio, because we know that we have a stability in our deposit base, right now we've stated that we wanted to be in the 90% to 95% range. Because we took a bit of a conservative approach, in my opinion, an appropriate approach to liquidity we actually lowered our loan-to-deposit ratio in the second quarter. And so we're well within the range. We don't have to add to that on the high-cost deposit front in order to maintain it. And to me, there's finally an emergence of a deposit trend that we think we have a much better view into as we head into the second half of the year. Derek, do you want to take any of the rest of that?
Derek Meyer: Yes, I think the only - the way to connect the dots on the guidance and what Andy just shared is if we got 6% to 8% loan growth for the year, and we've gotten - a little over 4% from that since December already. You could see us consuming that 2% customer deposit growth in the back half of the year to fund the low end of our range. I think if we had good quality lending relationships, we wouldn't rule out adding to that funding with additional wholesale. I think the point we want to make, though, is that we've seen stability at the back half of the quarter and our core customer deposits, and we're confident about being able to grow that. And that the impact that we've seen on our margin from the disruption is largely behind us.
Daniel Tamayo: Okay. I appreciate all that color. I guess as we think about the NII guidance that you gave, specifically kind of thinking about that from a margin perspective, and this relates to NII as well. But just curious to get your thoughts on maybe the cadence of the margin over the next few quarters. Just your thoughts on when that might bottom. And a clarification within that. I may have misheard you, but I thought you said you were assuming a rate hike in September. Was that supposed to be July? Or -- so just those things with a quick clarification. Thanks.
Derek Meyer: Yes. So when we did our forecast, rates had - were a little bit softer, and it did assume a September increase that's moved forward a little bit. We do think, again, as I just stated, most of our margin, the pressure is behind us. We - our outlook and our NII guidance for the rest of the year contemplates a margin in the range of 2.80 to 2.70. So we think that stabilization is helpful. And that's what our outlook suggests.
Andrew Harmening: I'd just expand on that, Daniel, by saying we think we'll support a big portion of loan growth in the second half with the deposit growth that we're going to have. We are asset sensitive and expect that we will have some benefit to the rate increase, and we can pretty clearly see what that will be. On the deposit side, there could be some modest deposit mix shift continue for the rest of the year. And if we need to get any wholesale funding, we factored that in. So when we believe that we won't call the very bottom on margin. I think that would be too bold. But we definitely see a more clear path right now than we saw 90 days ago. And barring any extraordinary industry-wide news that we've had each of the first two quarters of the year, we do think that we're in the range of the bottom.
Daniel Tamayo: Okay. And just lastly, just related to that, on the rate hike date, if we do get it in July as the futures are expecting here rather than September, would you think it would have much impact on the guidance, maybe push you a little bit towards the higher end of the range - I'm sorry, the lower end of the range for NII?
Derek Meyer: Yes. I don't think there are level of precision that high part of our NII guidance includes rate of growth on the earning assets. So, it could be helpful. But I don't think the resolution is that high.
Daniel Tamayo: Okay, all right thank you for taking all my questions.
Derek Meyer: Thank you.
Operator: Thank you. Our next question comes from Jared Shaw with Wells Fargo Securities. Please proceed with your question.
Jared Shaw: Hi, thanks. I guess just following up on the funding. I guess, first, when Derek, when you said the margin 2.70 to 2.80, is that your view for the full year? Or is that for the second half of the year?
Derek Meyer: That's for the second half of the year.
Jared Shaw: Okay. Okay. And then when we look at the funding outlook. It's good to hear that you feel encouraged, that there's opportunity for growth. I guess what's driving that optimism for consumer deposit growth? Is it just you can put a rate out there and that will attract money or is this more full relationship? I guess as we look at that growth, is that all going to come in the form of CDs? Or do you think that there's opportunity to attract relationships, and should we think that the DDA level is sort of found a floor here as a percentage of deposits?
Andrew Harmening: Yes. All good questions. And it's not a one thing for us. We started, as you know, several prongs to this. I would focus on mobile satisfaction. We know it's the most visited site we have. And so when you increase your satisfaction there, what you look for immediately is a decrease in attrition. We've seen a double-digit decrease in attrition. And by the way, that's during a very volatile second quarter. So that's one indicator of what we've had. We've seen growth in our customer base on consumer and business each of the last three months. We have seen a growth in our core commercial outside of government banking. The government banking dollars that we've seen runoff have typically been collateralized low-margin deals, and that's over $300 million. We had an extraordinary one customer take $300 million. That was a higher-yielding customer. But when you put those two things together, those we believe are extraordinary events that frankly, we aren't in a position to incur, and that's why we've seen that stability happen in May and June. We see it halfway through the month of July as well. And so, when you pair customer satisfaction, when you pair that with customer growth, you do expect to get operating accounts with that. We are getting better and better deepening - relationships on the commercial side. That will be important for us for the rest of this year, next year and the following year. If we want to add to those categories, which we may, we know how to deepen relationships now, and that will give us confidence on the go forward. So, the answer is no, it won't be all CDs. We are subject to the mix shift that's occurring in the marketplace, but we can see very clearly that, that mix shift has slowed in the last two months. And so, we expect that to temper a bit each of the subsequent months as the year goes along.
Jared Shaw: Okay. Okay. So then when we look at DDA as a percentage of the total here at 20.5%. Is this a floor or do you think we could still see that go lower from here?
Andrew Harmening: I couldn't call that a floor, but I absolutely do not believe, you'll see the pace that you saw in the previous two quarters.
Jared Shaw: Okay. And then as we look out a little further into '24 and when some of these brokered deposits come due, do you feel that the momentum that you just described earlier will be enough to be able to replace those with homegrown deposits? Or we should be thinking that brokered CD levels stay at these levels for more of an indefinite period of time?
Derek Meyer: Yes. I think it's going to depend both on how much we want to grow the balance sheet, and what the business mix is of the assets that we're putting on, because we think we still have continued opportunity to optimize our yields that way. I would not expect that as a percent of our balance sheet to grow disproportionately. So, we do expect that the consumer side of the business will provide significant funding. And so, the mix would be the same or decrease from where it is now.
Jared Shaw: Okay. And then just finally for me, in the past, you've talked about the optionality of the auto program being able to sort of ramp that up and ramp it down, you had growth this quarter. Would that be a lever you would use to offset either better than expected deposit flows or weaker than expected deposit flows? Or is that sort of the place you should be looking at making up slack or giving some opportunity?
Andrew Harmening: We're not going to double down on auto and increase that rate to the point, that it becomes too heavily concentrated. However, the idea all along is that we could decrease our reliance on third-party originated mortgages, which are - have a less significant yield and are a non-relationship play. We're seeing very good yields on the auto book as we're going along right now. They're also not one that's likely to refinance if you see rates go down in 12 months. So that puts us in a pretty decent position as well. What you will see from us, so I see those two as a bit of a trade-off, the third-party originated mortgages and auto. Over time then, we've got to - we will dissect the balance sheet and look at expanding businesses, that we've had some success in. We will look at that right now, and come up with a plan heading into year-end on that.
Jared Shaw: Great, thank you.
Andrew Harmening: Thank you.
Operator: Thank you. Our next question comes from Scott Siefers with Piper Sandler. Please proceed with your question.
Scott Siefers: Good afternoon, guys. Thanks for taking the question. I guess I wanted to go back to the NII discussion for just a second. It sounds like a little bit more margin erosion, but at a much slower pace than certainly this quarter. I guess, even if the margin has bottomed. I think the updated guidance implies that the second half NII will have to average something around $7 million or so higher than the second quarter run rate? So I guess what you're saying is, that there's enough loan to earning asset growth overall to overwhelm any further margin erosion. So is the right conclusion that the second quarter was that we just witnessed the trough for NII?
Derek Meyer: I think we'll leave - I think if you do the math, if that's what you're coming up with, we'll let it at that. I think, we've got a range of growth on the asset side that is pretty good. And if we think that comes in lighter, then we've got options to be more efficient on the funding side.
Scott Siefers: Okay. All right. Perfect. And then, Andy, just wanted to discuss, I guess, in a bit more detail, just sort of the tactical thinking on your appetite to lend. Your biggest competitors, presumably, they're going to be subject to this whole host of new capital and liquidity rules. So the biggest guys seem to be pulling back on lending? Are there any areas where you guys similarly are pulling back in light of economic uncertainty or by - I know you touched on a little in your opening remarks in specific areas? But by contrast, with the larger banks pulling back, any areas where you think you can take some market share if the pricing is good, and your competitors are pulling back?
Andrew Harmening: Yes, that's a good question. You asked two different questions within there. I think, Scott, I think one was with regards to capital, and I think you mentioned economic uncertainty. What I would take first is the economic uncertainty, and tell you that we want to lend to people that can pay us back. And I know that sounds pretty basic, but when you look at almost 99% of our auto book being prime and super prime on the origination side. When you see the loan to value go down and the FICO go modestly up even above - around [7.80] I believe, in the last quarter. We are looking at a pretty squeaky clean book. But in that place, there are some people that have pulled back there. We are dealing with prime, super prime borrowers, and we're getting a yield above 7%. So this seems like a pretty good move for us. So I'd say that's exactly what is happening in that area. We looked at our third-party originated mortgages. And in the markets that we're in, the yield we're getting was substantially less than that. And our history has been that, that book churns. When rates go down, they immediately go down with it. And so, that would be one example of an area that we will see over time, that shift will be beneficial to us. We want to focus heavily on relationship businesses. We are now proving within our commercial book that we can grow our core commercial deposits. That will matter a great deal to us over time. We haven't broken that out publicly, but I see the trends on that. And in this year, when you're positive in that space, you're on to something. So we will continue to try to look at that as a source for us to look at lower cost deposits. Lower than wholesale funded, lower than FHLB funded, lower than government - high-rate government deposits. So, there are a few areas that are emerging for us, because we've gotten into asset-based lending, equipment finance and enhanced our commercial approach to business. And then finally, I'd say just acquiring customers vis-a-vis digital and mobile banking, we're seeing the percentage of customers coming through on our brand advertising campaign through digital increasing. They are modest and incremental numbers, because we're testing and learning and making sure they're not falling off on the backside. So it's a lot of the things that we've talked about. And the answer is yes. We do believe that we have opportunity in the marketplace. That being said, we don't expect anything like the growth that we saw in the previous year in 2022. But that was by design to increase your capabilities. So that you can continue to lend in the higher return areas as you deemphasize some of the lower return areas. With regards to capital, we feel like we're in a pretty good position as we - create that shift in what we're lending on that, of course, you increase your capital vis-a-vis profitability. And right now, we don't see a constraint on capital based on the way that we're approaching it, deemphasizing some lower yield, emphasizing some higher yields. So, we do think - and with regards to regulatory, we're early innings. We've heard quotes from the OCC and seeing those out there, and seeing that they thought it probably would be a big emphasis on the over $100 billion banks. But it's a little too early to comment, I think, on what that's going to mean to the banks above us in size.
Scott Siefers: Okay, good. Appreciate the thoughts. Thank you very much.
Andrew Harmening: Thank you, Scott.
Operator: Thank you. Our next question comes from Terry McEvoy with Stephens. Please proceed with your question.
Terence McEvoy: Hi, good afternoon, everyone.
Andrew Harmening: Hi, Terry.
Terence McEvoy: The forward curve is implying lower rates next year. So as I look at your $6 billion of brokered CDs and other time deposits, what's the repricing opportunity over the next kind of 12 or within 2024 with the assumption that rates are lower? Do you have a schedule, a maturity schedule when those roll?
Derek Meyer: Yes. We don't, but let me give you some color all of our brokered CD programs were largely within 12 months. So think of 12-month term is the outside limit and then we scheduled both depending on price and volume and appetite, either nine months, six months or shorter than that. And we started out very short. And then, if you think about our specials for retail, it's largely centered on the seven-month CD. So, we had a couple of other maturities, but our most popular that we've been with the last couple months is seven months. So, we think of most of this all re-pricing between now and mid-next year, the majority of it.
Terence McEvoy: Okay. And can you remind me the network transaction deposits, that's a 100% beta product?
Derek Meyer: Yes.
Terence McEvoy: Okay. And then maybe last question. I don't want to overlook Slide 6, Andy, when you talk about the net growth and some of the deposit products. Maybe can you talk about on the consumer side? Are you getting - are you the primary bank in this relationship? Are average - how are average deposits looking and maybe expand a little bit on these new businesses and households that are partnering with Associated?
Andrew Harmening: Sure. So, I'll give the example of the mass affluent. The mass affluent is a segment where a large percentage of the deposits reside. And so, I mean that is a primary deepening play within those - within your existing customer base. But then it's also with new accounts that come in. So when you look at that category for us, what I had seen coming into the bank was that we had an opportunity to deepen on the mass affluent side. We had an opportunity to deepen on the commercial side. I would say that those efforts are just happening right now. Now it was almost impossible to see that in the second quarter of this year, because of the extraordinary events that we had, which is exactly why I created Page 6, because we see the trends behind the trends as the dust settles, as the noise goes away. So the idea on these is absolutely get activity coming into your bank. But with that activity, put products and services in there and give your people an opportunity to talk about that on the consumer side, that's what segmentation does on the consumer side. On the commercial side, it is simple things like tracking of your pipeline and incenting for your pipeline. And our people have gotten better and better at that conversation. In fact, we - I see the early indicator. I saw the early indicator 90 days ago in our treasury management sales. Not where you'll make or break the bank from a revenue standpoint, but it's an indication that you're having conversations on things that matter to the customer with regards to the liquidity. And when you have those conversations, you're typically able to deepen. We've seen that deepening - followed from that. Yes, the question comes up, do you want customer growth or do you want deposit growth? And the answer, we have here is yes.
Terence McEvoy: Thank you, Andy.
Andrew Harmening: Thank you.
Operator: Thank you. Our next question comes from Jon Arfstrom with RBC Capital Markets. Please proceed with your question.
Jon Arfstrom: Good afternoon, guys.
Andrew Harmening: Hi, Jon.
Jon Arfstrom: Hi, a couple of follow-ups and another, I guess, a separate question. But why is attrition down just following up on Terry's comments about that Slide 6. Why is attrition down? And why are people not leaving?
Andrew Harmening: Yes. That's a great question. People stay for a lot of different reasons. It's great when you're nice. It's also great when you're nice, it's really nice when you actually have a digital experience, which is the most used channel. And then it's really good when you have products and services they want to need, and they start to deepen. And so, when we launched our new digital platform, you always take a step back in satisfaction. It's just annoying to change, but we rebounded from that really quickly. In my experience, it usually takes six months, we started to see rebounding in 90 days. That was awesome. So once we did that, we were starting to get back to our previous levels, but then people actually use it and they liked it. And so, when they like it, we saw our branch satisfaction going up with the mass affluent. The mass affluent lets us speak to people in the language of what matters to you. When they answer that, we match them up with the product or service, they leave satisfied. They don't walk out the door. Your first year attrition improves. When you get most of your people dealing with the channel they like. And by the way, we've had 100% uptime on our digital channel since we launched it. We've not been down. This is what we promised when we went to this cloud-based solution, and we've delivered on that. The number one thing somebody wants is when they pull out their phone and they log in, they want to see their balance, and they do not want the system to be down. We've delivered that. So as they're more satisfied, we haven't given them as many reasons to leave or we've given them more reasons to stay. So that's a pretty encouraging view on our side.
Jon Arfstrom: Okay. Good. Slide 4, you show some strong commercial growth from my point of view. You're also talking about pipeline slowing a little bit, but it looks pretty good to me. I guess I don't know if it's for you or Pat. But what's going on with your core commercial clients and what's driving that general commercial growth?
Andrew Harmening: Do you want to take that, Pat?
Patrick Ahern: Sure. I think it's largely what Andy is focused on. We spent last year beefing up adding RMs and helping to really focus on where we're going to - what our key relationships are in - our core client profile is. To an earlier point, we're not out chasing business in stretching. We haven't changed our credit box. So, it's just a matter of getting more people on the street talking to the clients we want to bank. And it's really kind of helped to generate. And while the pipeline is down, it's still pretty solid opportunities that we're seeing.
Andrew Harmening: And just to expand on that as well. This is Andy. We've spoken to the quality of the RM and the fact that we've gotten from almost every major competitor in the footprint, but the proof is in the pudding. And so, now when you see treasury management sales up, when you see pipelines continuing to grow the business and when you see your commercial deposits going up, we believe we've hired some really talented RMs. And frankly, we had some talented RMs in-house as well. And so, we've married those two and its put us on a pretty good path.
Jon Arfstrom: Okay good. And then last one for you, Pat. Slide 15 on credit. I agree the numbers look very tame, but more curious what you're seeing in consumer credit and any themes and anything you're watching in consumer? It's a little tick up in nonaccrual, but de minimis. But what are you seeing and what are you watching?
Patrick Ahern: We're continuing to watch delinquencies. We continue to watch payment trends. And to be honest, we've seen everything really remain flat and improve in some spots. Our residential ARM portfolio continues to improve from a delinquency standpoint. As Andy mentioned, the indirect auto has done great. Credit card book is really, we're still trending positive there relative to pre-pandemic. So from a consumer standpoint, we've been really happy with the production there, but I think it's a reflection of that prime and super prime focus.
Andrew Harmening: Just a quick piggyback on that. I mean just the unemployment rate in the State of Wisconsin is 2.4%. People are working. And when they work, they typically pay, especially if they're prime and super prime customers. So we watch closely the unemployment figures and delinquencies. And the delinquency on Page 15 actually shows a little bump up, but what it doesn't speak to is that we had on a syndicated credit on the upstream, there is an administrative mix up or slip or slowdown that stopped the payment from coming to us. That accounted for about 3 basis points. And so that's already been rectified in July. So essentially, our delinquencies are flat.
Jon Arfstrom: Okay. That's helpful. Thank you very much, guys.
Andrew Harmening: Thank you.
Operator: Thank you. Our next question comes from Brody Preston with UBS. Please proceed with your question.
BrodyPreston: Hi. Good evening, everyone. Thanks for taking the questions. Just a follow-up, just what you just mentioned on the syndicated credit, was that what drove the increase in the commercial and business lending nonaccruals as well? Or is that something different?
Patrick Ahern: Not that one particular situation. The situation Andy just talked about was just tied to the delinquency. The nonaccrual that was actually one other deal. It's a one-off transaction that we recognized in the quarter. We're not seeing anything from a trend standpoint in the commercial book that would lead us to any other concerns going into Q3.
BrodyPreston: Got it. Okay. And I did want to follow up on the $300 million of mass affluent deposit growth. I just wanted to ask if you had a sense for kind of what deposit categories that growth went into. You had good customer CD growth. So I just wanted to know if it was kind of like leading with CDs or anything - any detail you can give us there?
Andrew Harmening: I don't have the immediate breakout, but since a lot of it came from existing customers that had checking accounts, it's going to be an interest-bearing deposit accounts and the money that came in. So whether that is money market savings or CD, it would be largely in those categories.
BrodyPreston: Got it. Okay. And I did want to follow up. And maybe just ask again on Scott's question from earlier on the NII guidance. I mean just the math would dictate that if I take the low end of your NII guide, it implies that you need to earn $521 million in NII in the back half of the year, which is about $260 million to $261 million per quarter, just doing the simple math. And so it implies a step up, but the margin, it doesn't sound like we're willing to call a bottom. The NIBs we're not willing to say that they won't go down anymore. I guess I'm just - I'm struggling with the NII guidance just a little bit in light of those two issues. So any additional color you could provide around maybe the average earning asset base that's in your assumption or what could actually cause the back half of the year to exhibit the growth you need to hit the low end of the guidance would really be appreciated.
Derek Meyer: Yes. I was looking at the - it's the 6% to 8% earning asset growth that we talked about and then margins similar to what we've been looking at.
BrodyPreston: Okay. And maybe could I just ask on the auto and maybe the indirect CRE. Maybe talk to me a little bit about like the funding those - funding that loan growth and like what the incremental spread looks like? It sounds like you're getting pretty good loan yields on the auto. But just given that they don't come, those two categories historically haven't really come as much in the way of deposits, just wanted to kind of get a sense for how you're funding that and what the incremental spread looks like when you do fund that loan.
Andrew Harmening: Do you want to speak to that?
Derek Meyer: Well, yes, I can speak to that. Generally speaking, our incremental rate, we don't fund one loan at a time and one deposit at a time. So our marginal deposit growth rates have been between 4% and 5% and the auto books that we're talking about is generally getting 2% spreads, and then you're getting 1.5% to 2% on your variable rate C&I loans. And so that's what our outlook is based on. And then the performance of the back book and the pay down on fixed rate securities and auto loans from a couple of years ago with much lower rates.
Andrew Harmening: I'm not sure how to speak to this because new originated CRE is not a huge number right now. But what I would say is we're getting a very good margin on the deals that we're doing on CRE.
BrodyPreston: Got it. And you mentioned - and then just the last one on capital. The credit metrics are totally benign here, and I understand that. I just wanted to ask like when you do comp yourself against your peer group, the CET1 is lower than I think where the peer group is. It's probably justifiable based on the credit outlook. But is - on your credit metrics, but is there any thought given to maybe being closer to the middle of the pack and having a 10-plus percent CET1 range moving forward, just to maybe give investors or whoever more comfort around capital?
Derek Meyer: Yes. What we've got in there now is the same range that we had at the beginning of the year. It doesn't prohibit us from being higher than that. But if loan growth is at the higher end of what we've expected to, then that's where our - where we could come in. If loan growth is less than that, we would accrue above that CET1 range that we've got outlined in there. Said another way, if we have 6% loan growth, we would expect to be higher than that.
BrodyPreston: Okay. Great. Thank you very much for taking the questions, everyone. I appreciate it.
Andrew Harmening: Thank you, Brody.
Operator: Thank you. Our next question comes from Chris McGratty with KBW. Please proceed with your question.
ChrisMcGratty: Great. Thanks. Maybe asking the prior question a little bit different. You talked about growing the company. And obviously, that's the right strategy over time. With your stock at tangible book, is there a scenario where you would consider shrinking additional noncore assets and buying back your stocks?
Andrew Harmening: That won't be my priority in the immediate future. Chris, we have opportunity. When you have low-yielding assets on the books and you have initiatives that are working that produce higher yielding assets, that's the number one way over time to return to the shareholder. And so that will be the plan. If we see that, that growth is not there, and we have opportunity to use our capital in a different way. We do have dollars set aside for a stock repurchase, but that would not be my intent for the rest of 2023.
ChrisMcGratty: Okay. Thank you. And then, Derek, I think you said 52%, that was a cycle-to-date beta, I want to make sure I heard that right. And also what the updated thoughts are for full cycle? I may have missed it.
Derek Meyer: Yes. You did hear that right. And we'd expect to be in the high 50s for the full cycle.
ChrisMcGratty: Okay. Great. Thanks.
Operator: There are no further questions at this time. I would like to turn the floor back over to Andy for closing comments.
Andrew Harmening: Well, look, I'll just say this. We've come through the second quarter. There's reason for optimism, and we appreciate the interest that you've all shown by being part of the call, by following us and by having questions. So thank you very much, and have a good rest of the evening.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.